Operator: Good morning, and welcome to the First Quarter 2025 Earnings Conference Call for Bimini Capital Management. This call is being recorded today, May 2, 2025. At this time, the company would like to remind the listeners that statements made during today's conference call relating to matters that are not historical facts are forward-looking statements subject to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Listeners are cautioned that such forward-looking statements are based on information currently available on the management's good faith, belief with respect to future events and are subject to risks and uncertainties that could cause actual performance or results to differ materially from those expressed in such forward-looking statements. Important factors that could cause such differences are described in the company's filings with the Securities and Exchange Commission, including the company's most recent annual report on Form 10-K. The company assumes no obligation to update such forward-looking statements to reflect actual results, changes in assumptions or changes in other factors affecting forward-looking statements. Now I would like to turn the conference over to the company's Chairman and Chief Executive Officer, Mr. Robert Cauley. Please go ahead, sir.
Robert Cauley: Thank you, operator, and good morning. Unlike the first month of the second quarter, the first quarter of 2025 was relatively uneventful. Interest rates will generally range down and volatility was low for most of the quarter. These are ideal conditions for a levered investment strategy in Agency RMBS. Accordingly, the company in Orchid Island Capital, the REIT we externally managed, generated attractive returns for the period. Orchids stock also traded well during the quarter, at least until the last week of the quarter. Orchid was able to take advantage of these conditions and the performance of its common stock price and raise additional capital, enhancing the company's advisory services revenues going forward. Orchid raised $205.4 million during the quarter, and its shareholders' equity increased from $668.5 million at 12/31/24 to $855.9 million at the end of March. As a result, Bimini's advisory service revenues of approximately $3.6 million represented a 22% increase over the first quarter of 2024 and a 6% increase over the fourth quarter of 2024. Finally, Orchid reported net income for the first quarter of 2025 of $17.1 million and generated a 2.6% return on its book value for the quarter, not annualized. As you know, owing to our net operating losses, we have the ability to retain earnings and deploy them into our investment portfolio. Our Royal Palm subsidiary did not add to its RMBS portfolio during the first quarter of 2025, but did so several times during 2024, and interest revenue increased 25% over the first quarter of 2024 and 4% over the fourth quarter of 2024. With funding costs down as a result of Fed rate cuts late in 2024, net interest income, inclusive of dividends from our holdings of Orchid common shares increased approximately 64% over the first quarter of 2024 and approximately 35% over the fourth quarter of 2024. Note that these figures represent just the net interest income from the investment portfolio and do not include interest charges on our trust preferred or other long-term debt. To it, interest charges on our floating rate trust preferred and other long-term debt of $0.54 million were down 8% from the fourth quarter of '24 and 12% from the first quarter of 2024. Expenses of $2.92 million increased 4% from the fourth quarter of '24 and decreased by 3% from the first quarter of 2024. The company, inclusive of both the Advisory Service segment and the Investment Portfolio segment, recorded net income before taxes for the first quarter of 2025 of $0.73 million versus $0.56 million for the fourth quarter of '24 and $0.61 million for the first quarter of '24. We recorded a tax provision of $0.18 million and net income for the first quarter of 2025 of $0.56 million. While market conditions in the first quarter were very supportive of our two operating segments, conditions so far in the second quarter have been challenging. At the moment, there remains considerable uncertainty about how the tariffs introduced by the new administration will ultimately impact the economy and markets, especially those announced on Liberation Day, April 2. However, to the extent the economy slows, leading to potential additional rate cuts by the Federal Reserve and/or longer-term interest rates rise as a result of inflationary impacts of the tariffs, both the company's investment portfolio as well as Orchids could benefit from enhanced net interest margins resulting from the steeper interest rate curve. Operator, that concludes our prepared remarks, and we will open the call up for questions.
Operator:
Robert Cauley: Thank you, operator, and thank you all for listening in. To the extent a question does come to mind later or you listen to the replay and have a question, please feel free to reach out to us at the office. The number is (772) 231-1400. Otherwise, thank you. We look forward to talking to you at the end of the second quarter.
Operator: Thank you. This concludes the conference. Thank you for your participation. You may now disconnect.